Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:03 Greetings. Welcome to Tufin’s Fourth Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation.  Please note that this conference is being recorded. 00:22 At this time, I'll turn the conference over to Jackie Marcus with Investor Relations. Jackie, you may now begin.
Jackie Marcus: 00:28 Thank you, operator, and good day, everyone. Tufin released results for the fourth quarter of fiscal 2021 ended December 31, 2021, earlier this morning. If you did not receive a copy of our earnings press release, you may obtain it from the Investor Relations section of our website at investors.tufin.com. 00:48 With me on today's call are Ruvi Kitov. Tufin's Co-Founder and Chief Executive Officer; and Jack Wakileh, Tufin’s Chief Financial Officer. This call is being webcasted and will be archived on the Investor Relations section of our website. 01:01 Before we begin, I would like to remind everyone that any statements made in today's webcast that relate to future events or express a belief, expectation, projection, forecast, anticipation, or intent regarding future events or the company's future performance may be considered forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995 and other applicable securities law. These forward-looking statements are based on information available to Tufin's management team as of today, and involve risks and uncertainties, including those noted in this morning's press release and Tufin's filings with the SEC. Such forward-looking statements are not guarantees of future performance. Actual results may differ materially from those projected in the forward-looking statements. Tufin specifically disclaims any intent or obligation to update these forward-looking statements except as required by law. 02:00 Please note that a reconciliation of any non-GAAP number to the mostly directly comparable GAAP number can be found in the tables of our earnings press release located in the Investor Relations section of our website. 02:13 With that, I'd like to turn the call over to Tufin's CEO and Co-Founder Ruvi Kitov. Ruvi?
Ruvi Kitov: 02:18 Thank you, Jackie. Good morning everyone, and thank you for joining us today. I'm excited to be here with you to review our fourth quarter results, reflect on the last year and share our outlook for 2022. 02:30 The end of 2021 marks the completion of year 1 in our transition to subscription model and I'm excited to say that we exceeded our transition targets for the year. Additionally, we surpassed our guidance on both the top and bottom line, and we entered a new year with solid momentum across the business. As I reflect on our fourth quarter and the full year of 2021, we made significant progress strengthening our sales team, improving our lead generation efforts, signing new logos and adding subscription-based services. We saw increased awareness of security breaches as corporations are allocating more resources to implement policy driven automation in order to navigate the security threats of tomorrow. 03:11 Turning to our fourth quarter performance. I'm pleased to report another strong quarter, bolstered by healthy growth in new logos, as well as continued momentum in our land and expand with existing customers. We signed a record number of larger deals, including our most significant deal in the last 3 years. 03:28 Our fourth quarter revenues grew 16% year-over-year with 27% growth in product revenues. Full year revenues were a record $110.9 million with subscriptions representing approximately 56% of the new license bookings for the year. In addition, 84% of the bookings from new logos in 2021, excluding hardware and professional services were subscription. While Jack will discuss this in greater detail in a moment, I'm pleased to share our ARR as we believe it provides the best reflection for the health of the transition. 04:04 At the end of 2021, we reached $72 million in ARR, representing growth of 19% year-over-year. Going forward, we will provide ARR on a quarterly basis. As I mentioned earlier, we're ahead of our stated objectives and we feel confident going forward about our continued move from perpetual licensing to subscription. 04:26 Moving to the cloud. We're pleased to report the Tufin Cloud bookings totaled $3.9 million in 2021, representing 40% year-over-year growth. Tufin Cloud bookings refers to the combined sales of SecureCloud with SecureTrack and SecureChange cloud licenses. Moving forward, we plan to report Tufin Cloud bookings on an annual basis. This has been an important year for Tufin as we completed our first chapter as a subscription-based business, while also seeing growth in both new logos and expansion of existing accounts. 04:58 Before I discuss our business in greater detail, I'd like to now turn the call over to Jack for a deeper discussion of our financials. Jack?
Jack Wakileh: 5:08 Thank you, Ruvi. As we mentioned, we are pleased with our performance in the fourth quarter and the full year as we made continued progress towards our initiatives and subscription base goals. Q4 was another quarter of consecutive and year-over-year revenue improvement and we are happy with our pace of conversion of customers from perpetual subscription and expect this trend to continue into next year. In 2022 we will be tracking subscription out of new license bookings, as we believe this metric better represents our progress in the transition to a recurring revenue model. In 2021, we reached 56% subscription out of the new license bookings and our target for 2022 is 68%. 05:50 Before I get to our fourth quarter and full year results, I want to review how we measure ARR, which Ruvi noted in his remarks, was $72 million for the end of the quarter. ARR is comprised of the annualized value of, one, our subscription contracts for the license and the maintenance together; two, our SaaS business; and three, our maintenance and support contracts for our perpetual licensing business. Historically, we have been primarily been a perpetual license company. The majority of our ARR is still comprised of maintenance and support contracts while subscription is growing fast and expected to surpass ARR from perpetual support within the next 4 to 6 quarters. As Ruvi mentioned, going forward we will be sharing ARR on a quarterly basis. 06:37 Let me now turn to our results. In the fourth quarter total revenue was $35.8 million, which is 16% above Q4 of 2020. Q4 product revenue increased 27% year-over-year to $19.1 million, while maintenance and professional services revenue was up 5% to $16.8 million year-over-year. Looking at the geographic mix of Q4. The Americas represented 53% of our revenue; Europe represented 42% and 5% came from Asia-Pacific. 7:12 Moving to margins and expenses. I will discuss our results based on non-GAAP financial measures. Gross profit for the fourth quarter was $30.1 million or 84% of revenue compared to $26.1 million or 84% of revenue in Q4 of last year. Our operating expenses for the quarter totaled $30 million, up 17% compared to $25.7 million in the Q4 of last year. 07:37 R&D expense for the fourth quarter was $9.2 million or 26% of revenue, compared to $7.7 million and 25% of revenue in Q4 of last year. Sales and marketing expense for Q4 was $15.7 million or 44% of revenue compared to $13.7 million or 44% of revenue in Q4 of last year. G&A expense for Q4 was $5.2 million or 14% of revenue, compared to $4.3 million or 14% of revenue in Q4 of last year. 08:13 The increase in our operating expense is primarily attributable to increased R&D costs and rising labor costs to remain competitive. Operating profit for Q4 was $0.1 million compared to $0.4 million in Q4 of 2020. Net loss for this quarter was $1.6 million compared to a net loss of $1 million in Q4 of last year and net loss per share basic and diluted was $0.04 for this quarter compared to $0.03 in Q4 of last year. During the quarter, cash flow used for operating activities was $3.6 million versus $1.7 million in the year ago quarter. 08:53 Moving to full year results. Total revenue for 2021 was $110.9 million, up 10% year-over-year. Full year product revenue increased 20% year-over-year to $46.6 million, while full-year maintenance and professional services revenue was up 4% to $64.4 million. Looking at the geographic mix for the full year 2021. The Americas represented 51% of our revenue; Europe represented 42% and 7% came from Asia-Pacific. 09:28 Moving on to non-GAAP margins and expenses. Gross profit for the full year 2021 was $89.6 million or 81% of revenue compared to $82.6 million or 82% of revenue in 2020. Our operating expenses for the year totaled $112.1 million, up 11% compared to $101.1 million a year ago. R&D expense for the full year was $35.7 million or 32% of revenue compared to $30.2 million and 30% of revenue in 2020. 10:03 Sales and marketing expense for the year was $56.6 million or 51% of revenue compared to $54.8 million or 54% of revenue last year. G&A expense for the full year was $19.8 million or 18% of revenue compared to $16 million or 16% of revenue in 2020. Operating loss for 2021 was $22.4 million compared to an operating loss of $18.5 million in 2020. Net loss for the full year was $25.8 million compared to a net loss of $20.6 million last year and net loss per share basic and diluted was $0.69 for the full year compared to $0.58 last year. For the full year cash flow used for operating activities was $14.2 million versus $17.4 million for last year. 10:57 Turning to the balance sheet. As of December 31, 2021, we had total cash, cash equivalents, restricted cash and marketable securities of $89.4 million, down $14.6 million from the beginning of the year. I will finish up with a discussion of guidance for the first quarter and full year 2022. 11:19 For the first fiscal quarter of 2022, we expect total revenue to be between $23 and $27 million and non-GAAP operating loss to be between $11.5 million and $8.1 million. For the full fiscal year of 2022 we expect total revenue between $123 million and $129 million and we expect non-GAAP operating loss to be between $28.9 million and $23.8 million. 11:47 I am pleased with our progress over the past year and the opportunities that lie ahead for Tufin. We are working to prudently manage our costs while also investing in the expansion of our business. 11:58 With that, I will turn the call back over to Ruvi. Ruvi?
Ruvi Kitov: 12:03 Thank you, Jack. While companies around the world have mostly adjusted to working through the challenges of the COVID-19 pandemic, one unforeseen challenge is the scarcity of qualified IT personnel. Companies of all sizes are continuing to expand their staffing and hiring efforts for security professionals as they recognize the critical need for protection against the ever-changing threat landscape they face today. 12:28 As a result, it is more difficult than ever before to hire and maintain teams of security professionals that can manage a growing number of change requests and large enterprise. The difficulty of this challenge is magnified by the record rates of workforce turnover seen in the broader labor market. Tufin's automation based offering not only improve security and increases agility, but it also helps solve the critical shortage of security specialists that are needed to process network changes and handle other security challenges. 12:59 In conjunction with labor shortages security teams are hard pressed to define and enforce their security policy, which puts organizations at risk for non-compliance and security incidents. In the fourth quarter, we released another app on the Tufin Marketplace, the security policy builder app. This app automates the design of corporate security access policies across the hybrid environment, reducing the complexity and the time that it takes to create security policies from months down to days. 13:30 Integrating the SecureTrack, the security policy builder app automates the design of the unified security policy based on the existing access to align the compliance models. This enables organizations to reduce the likelihood of a breach, avoid fines and penalties due to non-compliance and maintain a strong security posture. I'd now like to highlight some of the interesting deals that we saw in the quarter. 13:55 The first deal I’ll discussed was with a large airline that needed to automate security changes and struggled to maintain efficiency. Their environment included over 300 Palo Alto and Checkpoint firewalls, thousands of routers and switches, hundreds of load balancers and a growing cloud presence with over 100 public cloud accounts. They were making over 150 rules and policy changes every week with every change taking several days to implement, slowing down application change deployment for the business. 14:24 With a near shutdown of the travel industry for much of 2020, they lost about 1/3 of their staff, and if they return to business as usual they wanted to automate their IT processes as much as possible. The Colonial pipeline hack caused them to look even closer at Security Automation, as they could not afford to shut down the business for 5 days like Colonial did due to the security incident. They bought SecureTrack for compliance and SecureChange for automation of their on-premises and cloud networks. 14:54 Another significant deal this quarter was with a federal government in Europe. They had a very complex infrastructure with over 1,000 firewalls that contain over 4 million rules spread over multiple datacenters and multiple teams, some of them with different levels of access. They were using a homegrown tool for network visibility, which was insufficient for the audit and compliance needs and they were looking to automate changes and scaled their IT operation. There are multiple security breaches in European federal agencies in the recent years, leading to heightened awareness in a sense of urgency around security posture. They needed move away from annual processes, reduce their attack surface and build a well-documented process or on making policy changes for compliance audits. They purchase both SecureTrack and SecureChange and a multi-million dollar new logos subscription deal. This was our largest deal in the past 3 years. 15:47 The landfill I mentioned today was with an online consumer shopping company with several billion dollars in revenue and over 15,000 employees worldwide. They have about 200 firewalls in the on-premise data center and they've been Tufin customers since 2016. They were using SecureTrack for visibility and compliance with regulations, such as PCI since all of their business is with online consumers. They expanded aggressively into the cloud with the cloud infrastructure team adding about 13,000 virtual firewalls in AWS over the course of several months. At the same time, the network security team had no visibility or compliance over the security posture within these firewall due to the fact that a different organization was managing the cloud firewalls, as well as the speed with which these changes were made. They bought an expansion of SecureTrack to monitor their cloud environment and signed a 7-figure 1 year subscription deal in the fourth quarter. The future expansion potential with this customer is very significant with an option of SecureChange to automate network changes for their entire state. 16:52 We're very proud of the progress that we've made as we reached the 1 year mark of announcing our transition to subscription. Our sales team is executing well and we continue to see demand for our policy driven automation solutions. I wish I thank everyone at Tufin for all their hard work in achieving our goals for the year. 17:09 I would now like to turn the call over to the operator to open the line for questions. Operator?
Operator: 17:16 Thank you. At this time, we'll now be conducting a question-and-answer session.  And our first question comes from the line of Sterling Auty with JPMorgan. Please proceed with your question.
Q – Unidentified Participant: 18:09 Hi, this is  (ph) on for Sterling. I was wondering if you could provide some more color on what portion of the 2022 guidance in subscription?
Jack Wakileh: 18:20 Hi, this is Jack. So for 2022 we said we are going follow the subscription metric that is measured as subscription license out of total new business bookings. Sorry – out of two total new license bookings and we said that for -- last year for 2021 this metric was 56% and we said that we are looking to achieve 68% for that metric for 2022.
Q – Unidentified Participant: 18:54 Okay. Got it. Thank you.
Operator: 18:59 Thank you. Our next question is from the line of -- I’m sorry.  The next question comes from the line of Saket Kalia with Barclays. Please proceed with your question.
Saket Kalia : 19:12 Hey, great. Hey guys, thanks for taking my question here. Maybe just one for you, Jack. Can you just speak to sort of the average duration that you're seeing on deals? And kind of what that assumption on duration is in 2022?
Jack Wakileh: 19:29 Yeah, sure. I think you referred to subscription deals, right?
Q – Saket Kalia: 19:32 Yes, absolutely. Sorry, subscription deals.
Jack Wakileh: 19:35 Yeah. So we said in the past and this is the case that vast majority of the deals are multi-year deal. And when we say multi-year deals, within that, it's typically a 3-year deal, sometimes we see less than 3 years, but more than 2 years. So we have a group of like 30 months, 2 to 3 years. So that would be the average between those 2 buckets.
Q – Saket Kalia: 19:59 Got it. And actually -- sorry, maybe one follow-up for you Ruvi here. Ruvi, obviously, a very healthy firewall spending backdrop. Just given all the years that you've been in the industry, I'm wondering kind of what you've seen historically? Does demand for network security policy management typically lag sort of firewall refresh or upticks and spending? And if so, what's that sort of lag been like in the past? Roughly.
Ruvi Kitov: 20:33 Hi, Saket. So what we said in the past and I think that's still true is that, it's not directly correlated. Right? We're selling into the installed base of over 5 years’ worth of network gear, if you will, not just Firewalls  switches, also cloud security elements. So it's not that  Palo Alto have a great quarter and suddenly in 2 quarters you can track some growth for Tufin. It's just -- I think healthy network security spending overall and security spending. So demand is back for us, we mentioned that in last quarterly call that it's back to pre-COVID levels and it's surpassing that as well. And it's not directly correlated to the firewall vendors having a strong quarter on that.
Q – Saket Kalia: 21:22 Got it. Very helpful. Thanks guys.
Ruvi Kitov: 21:25 Thanks.
Operator: 21:30 Thank you.  Our next question comes from the line of Andrew King with Collier. Please proceed with your question.
Andrew King: 21:40 Hey guys. Thanks for taking my question. Congratulations on the good quarter. I just -- first off, just wanted to dive into the product revenues. This is the first time since Q4 2018 it looks like that product revenue has been over 50% of total revenue. Can you just break out why that was and where you expect that in FY’22.
Jack Wakileh: 22:04 Yeah, sure. Andrew, this is Jack. Yeah. We reported 53% product for Q4. For the full year we're still not at 50% where we want to be. But definitely, it's product that's driving the growth. So if you're looking at bookings for example, you can see the bookings is growing even higher than our revenue. Right? So bookings reflect the fact that product is driving the growth. And as we think of it going forward, continuing this growth and we did guide for accelerated growth for 2021 revenue. As we move forward, we expect to go back to 50% split as we were before the IPO.
Andrew King: 22:48 Got it. And then just on the hardware business itself. You are seeing a lot of other people in the security space dealing with some supply chain issues. Can you just detail out any of those that you've seen or if you haven’t, why not?
Ruvi Kitov: 23:03 Sure. So I'll take that. Nothing notable really to call out that impacted financial results in terms of supply chain. We do have supply chain around appliances, about a third of our customers choose to buy and deploy Tufin appliances. But so far, we've been managing the supply chain challenges and ordering ahead of it.
Andrew King: 23:21 Got it. And then I'm might have just miss this. Could you guys  international contribution for us? Thank you.
Ruvi Kitov: 23:32 I think, Jack, the question was about international contribution geography wise.
Jack Wakileh: 23:39 Yeah. We reported this on the prepared script. We had a balanced geographical split, it’s changing from year to year. We said it's about 50% for the US, it's about 40% for Europe and that's been stable over the years. Between the quarters, we may see fluctuations because we're working with high ASPs. But for the full year, that has been stable.
Andrew King: 24:08 Got it. Thanks. Congrats on a great quarter guys.
Ruvi Kitov: 24:12 Thank you.
Operator: 24:14 Our next question is from the line of Hugh Cunningham with Cowen. Please proceed with your questions.
Hugh Cunningham: 24:19 Hey, guys, congratulations on the strong quarter. Two questions. First, in terms of the labor tightness that you mentioned for your customers, is that also impacting you? And then secondly, in terms of the sort of wind down of COVID-19, do you expect -- what do you expect to happen with you? Let me just squeeze in a third on the insurance deal. Who -- in general terms, who did you see competing against you for that deal? Thanks.
Ruvi Kitov: 24:53 Okay. So hopefully I'll remember those 3 questions. The first one I think was on labor. So obviously, it's a very competitive environment that we're operating in. Tufin is a great place to work. We continue to find ways while we could attract and retain the best talent. We did adjust compensation or just stay competitive with the market and that's reflected in the expenses and guidance for the year. What’s the -- can you remind me the second question?
Hugh Cunningham: 25:19 It was about, who did you see going up against you on the insurance deal, but actually even the other 2 large deals you mentioned, what sort of competition you're seeing? Is there anyone you can mention that you're seeing more often?
Ruvi Kitov: 25:34 Right. So, in terms of competitive landscape, it hasn't changed that much. Of the 2 direct competitors that we see most often are  and to a lesser extent we sometimes see Skybox as well. A lot of the large deals are competitive obviously for Tufin expansion, but normally they would not be baking off against the competitor, they would just be reviewing Tufin and making a decision on whether there is enough value there. But I would say,  are probably the two close and direct competitors and Skybox is a secondary competitor.
Hugh Cunningham: 26:07 A quick follow-on to that, is there a reason why is it superiority of your products? Did you sort of ease them out? And my last question by the way, was on COVID 19 and the wind down and the impact on you?
Ruvi Kitov: 26:18 All right. So let's take the competitive piece first. Sure. I mean we've got strong competitive advantages. We're the clear leader in automation, we got the most accurate topology of any vendor out there. We have the best capability at the high end, you really need a solution that automate accurately. You can’t trust automation unless the automation software is more accurate than the human and that's what we've been able to achieve. So it's a major differentiator that we have against all of our competitors. 26:50 In terms of COVID-19 pandemic. I think there is still impact in the sense that in terms of physical offices, not everybody is back to the office yet and it really depends on the geography. We're hoping to get more people back in the office, let's say, in a 2-day per week basis or hybrid model, but it depends on how the pandemic is going to move forward. And with customers we've shifted to selling virtually, there is a lot more virtual events. We hope to have more face to face meetings with customers. So we're now -- in this new environment, we know how to work operate, sell within this new environment. If things open up, I think that will just be upside for us where we get more face to face with customers and we'll be able to see more of the employees in the office.
Hugh Cunningham: 27:35 Awesome. Thanks guys and congratulations again.
Ruvi Kitov: 27:38 Thank you.
Operator: 27:40 Thank you.  The next question comes from the line of Adam Borg with Stifel. Please proceed with your questions.
Unidentified Participant: 27:51 Hi. This is  on for Adam Borg. And thank you for taking the question. I guess just first, it's nice to see the ARR growth in the quarterly disclosures, how should we be thinking about ARR growth in 2022.
Jack Wakileh: 28:07 Hi, Adam. So we reported the ARR of $72 million as of the close of last year. So we're not guiding for ARR. Right? It's too early, we are going to share ARR on a quarterly basis. Ruvi mentioned that on the call as well. But we think it's too early at this point for us to reported -- to guide it forward. But the way you should think it, maybe some color, you can expect obviously subscription ARR to be growing fast as the major component comprising the ARR, while support, maintenance support component actually growing slower. And over time, it's going to decrease. So these are going to be trends within ARR, but the actual guidance were still not there.
Unidentified Participant: 29:00 Great, very helpful. And then maybe just one follow-up. I'm just curious about early interest and support for Zscaler Cloud Firewall. So if you could remind us the timeline of when you expect to support Zscaler for automation as well. Thank you.
Ruvi Kitov: 29:13 Sure. So I think you're referring to the fact that in  last quarter, we announced the integration with Zscaler Cloud Firewall. It's becoming a lot more popular with customers. And what we added is support for visibility now, we're going to add support for automation for Zscaler down the road. We still have not announced a release date for that. So when we're ready to announce the release date we will. Just in general, we're looking at other Sassy and SD WAN players and the market is quite fragmented. There are several vendors, there is no clear winner yet emerging with the exception of Zscaler. 29:49 Zscaler has a firewall that now competes directly with Palo Alto, Fortinet and Checkpoint. So we're considering what are the next vendors as well to add in terms of Sassy and SD WAN. And when we're ready we're going to announce that.
Unidentified Participant: 30:04 Great, thank you very much.
Ruvi Kitov: 30:08 Thanks.
Operator: 30:08 Thank you. At this time, we've reached the end of the question-and-answer session. I'll hand the call back over to Ruvi Kitov for closing remarks.
Ruvi Kitov: 30:17 All right. Thank you very much. I want to thank everybody for joining us today. Like I mentioned in my remarks, we're achieving our targets, we continue to execute on our strategic objectives. I believe our product and services stand up against today and tomorrow's challenges and rise above the competition. I really look forward to updating you all on our progress on our next earnings call. Thank you very much for joining today.
Operator: 30:42 Thank you. This does conclude today's conference. You may disconnect your lines at this time. Thank you for your participation.